Ignacio Bustamante: Good morning, everyone, and thank you for joining us today in our 2014 annual results presentation. My name is Ignacio Bustamante, CEO of the Company; and with me I have Ramon Barua, who is our CFO. I will start first by talking about the key highlights for the Company in 2014. Then I will hand the presentation over to Ramon, so he will walk you through our key figures from our financial statement. And then I will take over the presentation again, to talk about the key areas of focus for the Company, going forward. So even though 2014 has been another year in which we have seen a weak commodity prices, we realized that Company has been able to achieve many important accomplishments during the year that are really worth highlighting. First of all, we have the successful implementation of our cash optimization plan, which allow us to save $300 million in total cash expenses. And we talk a little bit about that later. Also, we are approaching completion of our very important Inmaculada mine, which is set to double our free cash flow and is going to be producing between 11 million and 12 million ounces per year and [indiscernible] is going to be our lowest cash cost operation, with all in sustaining cash cost targeted at between $11 to $12 per ounce. Also, we continue to delivering consistent production increases going from 20 million ounces in 2013 to 29 million ounces forecasted for 2016. Also our all-in sustaining cash cost continue declining significantly moving from $21.7 in 2012 and going to $15 to $16, which is our guidance for 2015. And we have the entire management team focusing on continue decreasing this solid sustaining cash cost even more. And finally, our secured financial position with Inmaculada fully financed and with all our operating units generating positive free cash flow. So all this highlights position the company very well to face weak commodity price cycle, but most importantly generate significant leverage and one of the best upsides in the industry to benefit from the prices once it start going up. So with this highlights, I will hand over the presentation out to Ramon to guide you through our key financial figures.
Ramon Barua: Thank you, Ignacio. I will keep it short. Here starting with our P&L for the year, this is a set of results that we feel very proud about because really all the things that were under management control have shown a positive result, and we have been able to really affect the production cost for the year, you will see in the following slide how the all-in sustaining cost has been dropping for the Company in recent years, since the prices of gold and silver started coming down, we have reduced our exploration efforts, we were able to reduce also our FX loss, the hedges that we took had positive results last year and of course with actions throughout the corporate offices where we significantly reduced the amount of personnel and we were able to really even a – merge some of the areas like exploration and business development to make it more efficient. So if you can see in the chart on the right, really all the things that were under our control and even some – which weren’t had positive results for the year. Now clearly, the prices of silver putting pressure down on our margins, and notably also the finance cost, but here what I would like to highlight is that that finance cost is really associated with the acquisition and investment in Inmaculada project, whose cash flows were not yet seen in these P&L. And also we’ll try to isolate that effect and it will be more than covered next year once Inmaculada is really a doubling the EBITDA numbers that we have produced in 2014. So here in the column on the left, you see our pre-exceptional results, the gross profit margin coming down from 25% to close to 18%, again mostly as a result of the prices, and then the net loss of $56.7 million, representing an EPS of negative $0.15. At the bottom you see the adjusted EBITDA of close to $136 million for the year and we have had some exceptional items also recorded in the financial statements, mostly relating to termination benefits associated with cash optimization plan and layoff that we did to happen unfortunately to achieve these results. Here we can see the all-in sustaining cost, coming down all the way from $21.7 that was the highest level in 2012, all the way down to $17.4 as of the end of 2014, and we have guided the market towards $15 to $16 per ounce of silver equivalent for this year. So far we feel very optimistic about this guidance knowing the results of January and February have come up already and showing a positive trend. We are being benefitted by a positive devaluation process in Peru, which is also very good. The results from our union negotiations have already come and we are under budget on that front, so things are really looking well. The only negative thing that we are seeing is that the evaluation in Argentina has not picked up as much as we wanted or had expected for the year, so that’s something to keep in consideration. And I would like to finalize also with a comment here because historically we have always used a ratio of gold to silver of 60 to 1, and that has been a good average, but we have seen a severe dislocation that is lasting much longer than usual and right now is closer to 74, 75 times, and now that we are going to restart production in Inmaculada, and Inmaculada is mostly gold now, this is something to take into consideration. If you don’t use the 60 to 1, but you use the actual ratio that guidance could be at least $1 lower than what we are seeing there, and also please keep that in mind those of you who have models that separate our gold and silver production, you have no problem. But those who are looking at the bigger picture, that is something to keep in mind. And finally on the cash flow, I think this slide is a very good reflection of what has been going on and our policy as a management, we are working very hard to make sure that all the operations are able to generate enough cash flows to pay for the CapEx for exploration and of course to configure to the rest of the company. So here on the chart on the right where you can see is that Arcata, Pallancata, San Jose, and even Ares last year all of them had positive cash flow accounting for all those items, and even after we subtract the corporate charges we have increased the cash from $286 million to $299 million. Now on the right side, what you can see is that notably the investment of Inmaculada is the element that has consumed the cash for the Company during the year, and again, no we are not yet seeing that benefit until we start operations in Q2 of this year. Here the bullet points on the left, what you can see is that we expect for 2015, we ended the year with $116 million in cash since then we have taken on our short term lines in Peru, mostly with local banks, $75 million [ph], basically just as security and adding to the liquidity of the Company to ensure that the transition, until we put Inmaculada in production is secured and guaranteed. With the same spirit we have taken some hedges for the year, again, not a reflection of our long-term view of gold and silver prices, but just as a safety measure to ensure that cash flows are not affected by the volatility of the silver price during this important period for us. The forwards are showing of course that we are very smart as a management team and we have been able to predict prices were going. So with that, I pass it back to Ignacio.
Ignacio Bustamante: Thank you, Ramon. So with the risk of sounding repetitive and talking about our cash optimization plan, we’d like to start by highlighting the very important impact that this plant has had for the Company. We have been able to exceed savings and cash of over $300 million, mostly comprised by more than $100 million in savings coming from operating costs compared to our initial 2013 guidance. Our administrative cost, we have been able to reduce them by $30 million compared to the 2012 figures. Our sustaining CapEx have been reduced by $135 million compared to our 2013 guidance, and our exploration cost have been reduced by $58 million using the same measure. We have been able to achieve this through achieving significant operational efficiencies, most importantly dilution control and productivity measures, supply chain management, commercial negotiations, working capital improvement, important headcount reductions, but I will say most importantly the entire logic and rationale for cash optimization has already been flowing throughout the entire corporation. So we will say we have the critical management and talent inside the company focusing on ways to continue improving our all-in sustaining cash flow. So we feel very happy that the team is fully aligned to continue improving this numbers even better. This cash optimization plan and productivity measures together with Inmaculada, continuing the most important focus of attention for the management during 2015. Now getting into Inmaculada; as we know Inmaculada is a world class gold-silver project, which is approaching completion, is located in our southern Peru cluster, very close to our Inmaculada mine, our Selene plant, our Corina property and many other areas of a very interesting geological formations that we will be talking about in a few minutes. Is set to deliver 11 to 12 million ounces on a full year basis; operations are set to commence in Q2 2015, more precisely we are targeting to finish mechanical completion in April of this year with beginning production in June of this year and we are moving along very well towards completing that goal. Is expected to be our lowest cash – all-in sustaining cash cost operation. We are targeting $11 to $12 per ounce, and following up on what Ramon just mentioned about using the actual ratio of gold to silver prices. If we were to use to the actual ratio that we are seeing [indiscernible] that we used, we will be looking at total all-in sustaining cash cost of $10.3 per ounce, which is very positive news. And also finally on Inmaculada, we are very enthusiastic about the strong geological upside that we have in the operation, and as I said we are going to be talking about this in a few slides. As I mentioned we are looking at $11.8 per ounce silver cost, which translates roughly into $711 per ounce of gold, remember that Inmaculada is mostly gold, is about two-thirds gold, one-third silver. So if you place Inmaculada in the cash cost curve of the industry, you can see that it runs among the top 10% of companies with the lowest cash cost [indiscernible], so it should position Inmaculada very well even in the weakest part of the commodity price cycles. And you can see some key figures here to the right, 11.3 years of resources, average annual production of about 190 million ounces of gold or 11.3 million ounces of silver. And a pre-production CapEx of $420 million with all-in sustaining cash flows that we have already mentioned. Talking about Inmaculada progress, you can see here in the bottom, we are talking about 90% overall progress. We have pretty much completed most of the key areas of the project, electricity transmission line, mine development, engineering, permitting, EIS approval, contract and procurement. What should work infrastructure and access, we should be ready on time for the commencing of commercial production and also a planned construction, which is at 90% completion. This, if you may recall, this is an EPC contract that have with Grana y Montero in Peru, is already at 90%, we are still working on the final details mostly on fine work related to electricity, piping and that sort of things. And then, there is a very important percentage of the total completion between 92% and 100% that is related to a total cost of the starting up the main pieces of equipment. So once we start testing the new pieces of equipment and start commissioning them, those percentages should start going up even quicker. And then we have the paste backfill plan, which is the most – or the least advanced item in the pipeline, but is not a bottleneck, because as you can see here from the chart on the right, we have already accumulated 200,000 tons of mineral, which is about 2 months of production and we’re going to continue accommodating more mineral. So this does not become a bottleneck and we should be able to start the plant even if this – paste backfill plant is still not operating. Having said that, we are targeting to complete the paste backfill plant on May 15 of this year, so we should be well ahead of the time that it is required. You can take a look at some interesting pictures on the plant construction on the mine development, you can see here the first chart, we have the ramp entrance to the right, we have the primary crusher being installed, now it’s fully installed and that crusher together with a very long conveyer belt that takes the mineral from the mine all the way up to the processing plant are ready to start being commissioned this week. So we are looking forward to that. The plant is already fully electricized and that should allow us to test these equipments within the next week or so. You can also see the processing plant they are building there; you can see the two mills inside the processing plant with the SAG mill and the ball mill, whose installation has already been completed as well. You can see here the pre-thickener, the countercurrent tanks. You can see the lixiviation tanks and a picture of the main camp to the right. So as you can see significant progress, and we are really looking forward to a very successful start-up of Inmaculada in the very short-term. As I said also we are not only enthusiastic about what Inmaculada is going to bring from day one, but we are also very enthusiastic about its geological potential. As you can see here, all the mineral that is contemplated in our feasibility studies is now coming from the Angela vein, in the upper part of the chart and are the lighter white and grey colors over there. That is just a fraction of the known resources we have in darker gray, all the [indiscernible] resources which are not part of the feasibility study and are upside for Inmaculada. In addition to that we have the extensions to the west and to the east of the Angela vein, which are still open on both sides. The Angela vein, if you go to the chart below, the Angela vein is there being in blue, and we have many other veins and the structures that have already been identified with very attractive thickness and grades that should contribute with the production of Inmaculada as we move along with operation of the mine. And then to the right, you have the entire Inmaculada footprint that shows that this system to the lift, the Quellopata system is only one out of the many systems that we have in that property that we haven’t even started exploring. So we believe that the Inmaculada property offers significant upside for the mine and plant to continue increasing not only in terms of life of mine, but also in terms of production and capacity per year. Moving to the next slide, we are talking here on a more a regional approach; you can see on the bottom the Inmaculada property. Right on top of that we have Pallancata, on top of that we have the Selene plant and property and above that we have the Corina property that we have just a signed an earning agreement to be able to develop it. So all this mining rights have already been secured and under the control of the company. We’re talking about 60 kilometers of a mineralized belt with new mines being discovered. We have already done some geo-chemical work and that is showing already very positive results. We are targeting to complete the mapping of that entire area during 2015, and we believe that there is very strong potential to bring additional material either for Pallancata, for Inmaculada, or for Selene, coming out of these properties, and very importantly as well, we believe that with all the things that we are finding here particularly the Puquiopata and the Palca zones, we believe there is potential for new mines also in this land property. So from a prospective standpoint this is looking very, very attractive and this, together with our current operations brownfield work should be our key priority from our geology standpoint. Moving to Arcata, we would like to focus here on the geological potential for Arcata. Even though we have been operating Arcata for about 50 years, it still is behaving like a very young and new mine. We continue finding new areas that are looking very attractive. At the end of last year, we started focusing mainly in three areas; one is extension of Tunnel 4, which as you know is right now the most important source of mineral for the A operation. And we have also targeted two other areas, which are Lucero veins and the Pamela Sur veins. On all these three fronts we have been able to attain very positive results. Tunnel 4 for instance, we thought that there was a new mineralized area of about 150 meters that we had to cross before we reach the extension of a Tunnel 4 vein, we started making the tunnel to get to that new mineralized area and we found out that that area that we thought didn’t have mineral contained exactly the same quality and thickness of the minerals that we had been seeing prior to reaching that area. So it’s continue giving us significant resources of very good quality that should allow us to continue operating that area and continue seeing the positive growth that we are seeing so far for the year and for the last quarter of 2014. In addition to that, we are also evaluating an area called Baja vein because it has certain areas that are showing not only good silver content, but also some interesting lead and zinc content. So we are evaluating the possibility of a working on that area to see if we can make for a profitable project and incorporate a new line or modify the plant, to incorporate the line to produce silver and also some lead and zinc concentrate that could allow us to obtain some by-product grades contributing to reducing even more our all-in sustaining cash cost. So far the resources that we have with this polymetallic mineral, we are like very breakeven in terms of a justifying an additional investment in the plant. If we are able to find more mineral coming from the Baja vein, then that would significantly improve the economics of the project and we will be looking at the project to increase production in Arcata and with a relatively low all-in sustaining cash cost. And then in terms of the new findings, we are the new Lucero vein, which could potentially be two veins, we already have tested about 400 meters of a vein continuity and the veins is still open on both sides, so we continue looking for a expansion of this event. The mineral values are very high, we’re looking at more than one kilo of plata of silver per ounce, and this is more than 50% the current, a grade that we are currently mining in Arcata, which is already high grade, and we’re also very enthusiastic about this. And finally we have the Pamela Sur veins, which we have identified already up to 3 kilometers of a very positive intersects. The grades are not as good as Lucero which are outstanding, but still we are seeing very positive, similar to the ones that we’re currently producing and the extension also makes [indiscernible] has over 3, or up to 3 kilometers also makes us very enthusiastic about the potential for continued to maintain current production levels in Arcata for the next few years. Moving to Pallancata; as you know the 2014 exploration program was delayed because we had a problems obtaining community permit for drilling the area. By the end of the year, we were able to secure those permits, and we are currently working on the governmental permits, which we expect to have within the next four to six weeks. So after that is completed, we’re going to restart our drilling program in Pallancata. And we have many, very interesting start that we are going to be focusing our program for the year. We are targeting 19,000 meters to be drilling the area. And the key locations are going to be where the red circles are which are Luisa, Royropata, Farrallon, Yurika areas. So also very interesting potential and once we have the permit, we should be able to start confirming that potential within the next few months. Taking about our production profile going forward, as I said we are planning on moving from about 20 million ounces in 2013 to 24 million ounces in 2015 with a start-up of Inmaculada for a total of 29 million ounces in 2016 with a full year impact on Inmaculada production, and we are going to continue working on ways in which we can continue improving this production profile going forward. Talking about our medium to long-term potential, as I said we have three key areas that we believe offer the company a very strong optionality. The first one is our current operations; as you are aware, this year we optimized our mine plans, with a purpose of achieving our all-in sustaining cash cost of between $15 to $16, so that has allowed all our treatment plants to have significant idle capacity. So we are targeting, new additional areas in Arcata, in Pallancata and also in Ares that we could turn into production as quickly as possible. So if we are able to find interesting things, with good grades, we should put them into production very quickly because the plants are ready to operate, fully permitted and everything, so that is our number one a focus of priority to come up with upside for our current production profile. The second area is the area that I mentioned to you which is between Inmaculada, Pallancata, Selene and Corina that is going to be our second focus of priority. And the third focus is going to be on the current works that we are doing on the joint venture with Riverside in Mexico, also with Corina & Ibel in Peru and also with our potential partnerships that we are permanently evaluating that could allow us to use our competitive advantages of being operating in the region for the past 100 years. And look for partnerships in which other potential partners who have interesting projects, but lack these experiences that we have of taking produce from Greenfield to a fully operational projects in the region. Also, we have our three other advance projects, which is our Volcan, Crespo, and Azuca, all of them are 100% owned by us. Volcan is in Chile. This is a long-term project for the company; it has significant resources of gold, about 10 million ounces of gold. This is a project that is very interesting, but we are still way early in the development stage. This is a project that we do not see for the next three to five years, but probably more for the next five to 10 years. We’re very excited about it, but there is still a lot of work to be done to complete assessing the geological and the metallurgy mainly of the project. And once we have that completed, we’re going to start with a feasibility study, but again, it’s something that we do not foresee for the short-term. Then we have Crespo which is operated as have always do, it is already fully permitted. We have already spent $30 million and will remain to spend about $80 million. It’s an interesting project, relatively small, so by the time that we complete Inmaculada, then we need to decide which should be our investment priority to take advantage of the cash flow generation that we would be having at that point in time. So Crespo is an alternative but is going to be competing with all alternatives, mostly importantly our potential capacity increase in Inmaculada as well. And finally we have Azuca, Azuca is also in Peru, same as Crespo. We have already indentified more than 100 million ounces of silver in resources. This is a more complex geological system, so I believe there is still some more that we need to fully understand from a geological standpoint. But it’s clearly a very rich system and the project will be very interesting in the upcoming years for the Company. Going quickly through a valuation, we believe that there is a very important valuation gap between what we believe the company is worth and what the market is currently assigning to the value of the company. We are using here just two measures; one is enterprise value to EBITDA and the other one is market cap compared to production of ounces. You can see here to the left that we are using analysis, a projection, we are currently valued using our 2015 figures at 5.7 times EBITDA. Compared to the rest of the market that is being valued at more than twice that amount. And if you take into account the production and the EBITDA expectations for 2016, once Inmaculada reaches full production, you can see that difference is even wider with 3.4 times compared to somewhere between 9 and 13 times EBITDA, same with production and market cap. We are currently valued at 29 times compared to the rest of the market, which is valued somewhere between 40 and 175 and once Inmaculada is into production we are looking at 22, compared to again somewhere between 40 and 130. So this in our view are very large valuation gap versus other primary silver producers, but hopefully to start a shortening or getting reduced once Inmaculada gets into production. And finally, to summarize the key points of the presentation. The few main components of our 2015 action plan are first of all, continue working on cost competitiveness, which have been very good job there exceeding all our targets and making sure that all our operations are cash flow positive, and work towards obtaining our goal of $15 to $16 per ounce for 2015 and hopefully exceeding that figure. Key focus on project execution Inmaculada is close to completion, we are approaching very quickly the start-up date and we are very enthusiastic about it. We are going to be looking significant production uplift with lowest cash cost operation, so the impact both from production and cash flow generation should be very large and very material to the company and it’s definitely going to be a key value catalyst for Hochschild Mining. And finally, continue working on maintaining our financial strength and flexibility with a flexible balance sheet strategy with our growth fully financed with Inmaculada and the cash already in our hands, and with a cash flow set to double – once cash flow set to double, EBITDA set to double once Inmaculada gets into operation very quickly. So all-in-all, very excited about all the prospects that for the company within the next couple of months. So with that we complete the presentation. And now I would like to open it up to any questions that you may have on the floor and then we also have people attending from a conference call, and after we take the question from the floor we’d be happy to take any questions from the phone.
Q - Stephanie Bothwell: Hi, I’m Steph Bothwell with Merrill Lynch. Just a couple of questions. Firstly on your all-in sustaining cost guidance, you said you’re relatively optimistic around the $15 to $16 an ounce for 2015 and you also made the comment that negotiations with labor unions have been going relatively well, could you give us some additional color on that perhaps? And the second question just more generally, can you give us a sense of where cost inflation is currently running in both Peru and Argentina please.
Ignacio Bustamante: Sure. On the first one, what I can tell you is that we seen very positive impacts on things that are not necessarily under our control for 2015. The most important by far is the evaluation of the program. So that alone is probably going to spend the most upside for the year. Second to that is probably going to be declining oil prices, and third, important I would say is the impact with the union negotiation. We believe that the evaluation pressure is going to continue, so hopefully we continue getting more benefits for that towards the end of the year. But I would say the upside significantly exceeds any potential downside that we are seeing in the Peruvian operations right now. In the case of Argentina, as Ramón mentioned the evaluation is being significantly less than we initially budget, so that is going to offset part of that, but also the net impact for the company should still be positive. In Peru, I can tell you that we are not seeing significantly inflationary pressure – with having gold and silver prices at the levels where they are and also taking into account the decline in the prices of other commodities for the year, the pressure over the key people and hourly workers or employees, key supplies and everything has something fairly even and slowdown a little bit. So we are very comfortable that it’s going to be impact of the good exchange rate, plus no real significant pressure on the inflation side. In Argentina situation is different, in Argentina, we are seeing a more pressure for inflation in local currency, in pesos and very little devaluation. So I would say in terms of a general levels very similar to the same levels that we’ve seen of inflation in the past two or three years, [indiscernible] 25% or so.
Ramon Barua: If I may add a couple of things, I mean the quality of the rock on the Angela vein in Inmaculada we have found to be much better than anticipated. And also we expect that the cost associated with Inmaculada production is going to be lower, and the other important thing Stephanie is that we have reduced the amount of a mineral to be processed through our plant, as part of the cash optimization plan. So any additional tonnage that comes through the plant will help us reduce the fixed costs and that’s something that we have already been seeing in Arcata and with the prospects that Ignacio has been mentioning, especially in the case of Arcata, we have, we anticipate you know, that maybe through the year we could pass through more mineral thus affecting positively the all-in. So that’s in general our feeling that the numbers are going to be achievable for the year.
Roger Bell: Good morning, Roger Bell from JPMorgan. First of all congratulations on the cost reduction in 2014, I just had a question on the geological potential at Arcata, you had talked about new high-grade areas that might fill some latent capacity. To what extent would they be sort of replacing low grade areas or sort of likely to drop out of your reserves at lower prices, or would you see these areas is actually adding to the mine plants there?
Ignacio Bustamante: As we mentioned at the end of the year when we presented our production guidance for 2015, we have reviewed our mine plants and precisely the mine plants take into the account the areas that have already been mostly developed and also take into account the areas that is great for production, exceeds the total cost of production, and we are focusing on producing profitable ounces. So what we are seeing with these findings is that we are significantly increasing the amount of resources and reserves that are above the threshold with current prices. Also there are very positive findings that should allow us that the optimized plan that we put in place with Arcata should continue over time in case prices continue at this levels, hopefully that’s not the case, but even if pressure holds to maintain at this level, this gives us much more certainly that we could maintain the plan for the next few years.
Roger Bell: So in that case are you telling that – because you mentioned earlier in the year the development expenditure in 2015 is not enough really to maintain the last mine, but are you stressing that actually, it might well still cover it? Is that…
Ignacio Bustamante: Not necessarily, but what I am saying is that the quality of the new mineral would more than offset the additional CapEx that we will need to put in place to develop that. So what you are probably going to see for 2016 with the new findings that we are seeing is that CapEx are going to go higher because we need to develop these new areas, but the grades should be even higher to more than offset the additional CapEx.
Roger Bell: Okay. Thanks very much.
Ignacio Bustamante: Any other questions from the phone.
Operator: At this time, sir we do not. (Operator Instructions) We do not appear to have any audio questions at this time sir.
Ignacio Bustamante: Well, thank you very much everybody for coming to our presentation today. And should you have any additional questions please feel free to contact Charlie Gordon at our London office, and we’re also here to help you with anything that you may need. Thank you very much.
Ramon Barua: Thank you.